Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Media Corporation 2017 Q2 Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, August 9, 2017. I would now like to turn the conference over to Courtnee Chun, Senior Vice President of Investor Relations. Please go ahead.
Courtnee Chun: Thank you. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements about business strategy, market potential, new service and product launches, the demand and expected financial performance of the new ballpark for the Atlanta Braves and completion of the associated mixed-use development, the future financial performance of F1 business, future Formula One races, expansion of the Formula One brand, including international expansion, new opportunities for commercial partnerships, including sponsorships, increases in promotion and marketing, improvement of content distribution and expansion into new media's and other matters that are not historical facts. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements, including without limitation, possible changes in market acceptance of new products or services, the ability of our businesses to attract and retain customers, competitive issues, regulatory issues and the availability of capital on terms acceptable to Liberty Media. These forward-looking statements speak only as of the date of this call, and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Media's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA of Liberty Media and adjusted EBITDA of SiriusXM. The required definitions and reconciliations, schedules 1, 2, 3, can be found at the end of the earnings press release issued today, which is available on our website. This call also may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 regarding Liberty Broadband. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These forward-looking statements speak only as of the date of this call, and Liberty Broadband expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Broadband's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. Now I'd like to introduce Greg Maffei, Liberty's President and CEO.
Greg Maffei: Thank you, Courtnee, and good morning to all of you out there. Today, speaking on the call besides myself, we'll have Liberty CFO, Mark Carleton, and here at the home office for a change, Formula One's Chairman and CEO, Chase Carey. During Q&A, we'll also be available to answer any questions you might have related to Liberty Broadband. It was a busy quarter across all of our companies with mostly very happy results. At the Formula One Group, Chase and his team continue to invigorate the sport. We are in the middle of an exciting and competitive season. Right now is the summer break. But there is a tight race for first place between 2 exciting competitors. Since the last call when we were with you, at Formula One, we completed $1.9 billion of equity offerings across a primary and two secondary offerings in June, July of which Liberty itself received $388 million in net proceeds from the primary portion and used this to pay down our second lien term debt. We continue to move the CBC group's equity out to other exciting and important holders and have done a great job we think with our partners of redistributing that stock. We're also active in the debt markets, as I noted above and at Formula One, and Mark Carleton will go into that in more detail in a bit. As you saw probably in our press release, we made an offer to the teams to purchase some equity and that offer expired untaken up. But we're pleased with the ongoing discussions we've had with the teams and the new spirit of collaboration. We really are working on a long-term structure and focus to how to drive Formula One together, and the equity offering became more a tail on that rather [ph] than first piece. I think Chase will have more to say about that. At Formula One, we also moved into the new London headquarters in July in St James's Market. After substantially hiring, the vast majority of the senior team is in place there. We have received several questions about Chase's deal and particularly his compensation. We don't plan to publish his contract, but I did want to share with you the fact that the substantial majority of Chase's compensation is performance related and tied to the operational performance at Formula One directly or the stock of the Formula One Group. At Live Nation, I'm going to pass on as they report later today, and they have their own call later at 5 P.M. Eastern. And lastly, looking at SiriusXM, they had an outstanding quarter. Their second quarter revenue was up 9% to $1.3 billion, with second quarter net income up 16% to $202 million. Adjusted EBITDA grew 12% to a quarterly record of $522 million. And as they continued their share repurchase, our ownership grew to 68.5% as of July, 25. Over at the Braves, attendance at the SunTrust Park increased 36% as of August 7th. I want to note one thing. In the second quarter of 2017 this year, they had 40 home games versus 44 home games in the comparable period in the second quarter 2006 [ph]. I would note that we sent a 2016 count in our press release was incorrect, and that's a correction, at the 44 last year. The Battery Atlanta, our mixed-use facility associated with SunTrust Park is seeing strong demand. On the retail side, 70% of is leased with 30% of the outlets open. On the residential units, we have 80% of them leased with 60% already occupied. The remainder of the development is on time and on budget as we've noted before. We expect Comcast to move in to their office building in November, and the Omni Hotels open later this year. And over at Liberty Broadband, Charter had a strong quarter that we believe sets up well for future performance. They completed the launch of the Spectrum brand, that product is working and exciting. They had good revenue growth with better and strong pro forma adjusted EBITDA growth of 8.7%, excluding transition costs. Leverage there remains about 4.1 times, at the low end of our target 4 to 4.5 range. Charter also did share repurchase in the quarter, buying back approximately $3.7 billion of common stock and common units in Q2. With that, I'll turn it over to Mark for some more details on our financial results.
Mark Carleton: Thank you, Greg. At quarter end, Liberty SiriusXM Group had attributed cash and liquid investments of $130 million, excluding $43 million of cash held directly at SiriusXM. The value of the SiriusXM stock that we held at Liberty SiriusXM as of yesterday was $17.6 billion, and that's around $250 million of debt against those holdings. The Braves Group had attributed cash and liquid investments of $128 million. Formula One Group had attributed cash and liquid investments of $146 million, which excludes $297 million of cash at F1 directly. Formula One Group holds public market securities with a market value of $3.4 billion as of yesterday with $2.3 billion of attributed debt, excluding the debt at F1. For Liberty SiriusXM, at quarter end, they had attributed principal amount of debt of $6.8 billion, which includes $6.5 billion of debt directly at SiriusXM. The Braves Group had an attributed principal amount of debt of $511 million and the Formula One Group had an attributed principal amount of debt of $6 billion, which includes $3.8 billion of debt at F1. We have done a little financing after the quarter end. We completed a few transactions related to the debt of Delta Topco which's the Liberty sub that holds all of our interest in Formula One. We completed a $200 million add-on to the first lien term loan, proceeds of which, together with some cash we had on hand, we used to repay the balance of the $300 million second lien facility. Additionally, we increased capacity on the revolving credit facilities, none of which is currently drawn. Further details on those amounts are included in the press releases that we issued last week. A pro forma for all these transactions, F1's total net debt to covenant OIBDA ratio as defined in the debt agreements was about 6.7 times as of June 30, as compared to a maximum allowable ratio of 8.5. We've set a target and have communicated that for Formula One of around 5 or 6 times their covenant to the OIBDA. Please note that these leverage ratios are for the Formula One business, not for the Formula One Group overall. Lastly, in the quarter, the Formula One Group incurred $9 million of SG&A expense including stock comp, which excludes amounts that have been allocated to the Liberty SiriusXM and the Braves Group. For the quarter, approximately $10 million of SG&A, including stock comp, was allocated to the Liberty SiriusXM group, and approximately $2 million was allocated over to the Braves Group. Now I happily turn it over to Mr. Chase Carey to talk about Formula One.
Chase Carey: Thanks Mark. We just passed the halfway point in the 2017 season as well as the six-month anniversary of the change in ownership at Formula One. And while it's still early days, it's been a good start on both fronts. Attendance at our races and television viewer numbers are both up solidly season to-date. Our engagement on digital platform season to-date is up even more dramatically, particularly on video usage. Most of our senior executive team will be in place when we return from the August break. And we moved into new offices two weeks ago that will dramatically improve, our effectiveness and efficiency. For the first time, we'll have an organization capable of properly managing and growing the sport. Most importantly, Formula One has a fresh energy and excitement among our fans and partners that is providing critical momentum. Our initial market research, as well as great events like our Formula One Live celebration in Central London last month, illustrated our fan's great passion for the sport and the untapped potential of Formula One. We're in the process of building a strategic plan, another first for Formula One, that will outline our vision and goals over the next three to five years. At the same time, our new operating groups have begun to move forward on key priorities that will be the building blocks for that plan. In the sponsorship area, we're actively engaged with potential new sponsors in a number of previously untapped categories as well as building stronger relationships with existing ones. We're developing capabilities to provide more uniquely tailored offers that better match sponsors' objectives and provide us, both more inventory and premium values. On the promoter front, we're working with existing promoters on key renewals and ways to enhance the appeal and value of our events. We're expanding the consumer experience at the track in terms of entertainment, exhibitions and food as well as building new offerings in areas like merchandising. Quite simply, we're making a lot more fun, interesting and open for fans. At the same time, we're actively exploring some exciting new locations for future races. One area of particular focus related to our events is hospitality. It is increasingly important, that we maximize the entire range of consumer experiences that enable us to fully exploit the potential of our most valuable customers. We're also building stronger relationships with our local promoters and other partners to properly market and sell these experiences. In the television area, both traditional and digital, we're balancing our goals for reach, economic value and growth potential for critical new areas like over-the-top. Our unique premium product positions us well for this expanding arena. We're in the process of selecting the partners that will help us build our digital platforms and create new exciting content for fans. On the motorsport front, we're addressing key issues like the next-generation engine, cost controls, aerodynamics, track design and other initiatives, all of which are designed to improve competitiveness and action on the track for fans and to strengthen the business for Formula One and its partners. As Mark and Greg touched on, we've also been active on the corporate side. We successfully eliminated an expensive $1 billion tier of debt, repriced our remaining debt and have also received upgrades from the rating agencies, the combined effects of which will be to reduce annual interest expense by up to $90 million going forward. Under impending expected changes to UK tax law, which are expected to be introduced shortly and with capped interest deductibility at a percentage of EBITDA. At our current levels of pretax profitability, the interest that has been saved would no longer be deductible in tax computations. This is just some of the activity at Formula One today, and we have many more initiatives like broader engagement with host cities, opportunities in the gaming area and developing Formula One in the US and China. Overall, our priority in the short term is to, first and foremost, improve and build our engagement with fans. Our sport is loved by our fans worldwide, and we have the opportunity to grow that base. However, in recent years, this work is not delivering on its promise and potential. We have now have the team in place to do so and look forward to turning a newly engaged fan base into an exciting business for all of us. With that, I'll turn it back over to Greg.
Greg Maffei: Thank you to Mark and Chase. We appreciate the continued interest of our listening audience in Liberty Media and look forward to seeing you at many of the upcoming conferences. With that, operator, I'd like to open up the line to questions.
Operator: [Operator Instructions] Your first question is from the line of Amy Yong with Macquarie.
Amy Yong: So maybe two questions. First, Greg, can you regarding the cap on Pandora, does it apply to all the Liberty's? And should we assume that any further investments in Pandora will still come from SiriusXM rather any of the Liberty entities? And I guess my second question is on Charter, how are you evaluating some of the options out there, whether or not it's wireless or maybe horizontal integration? And you also mentioned that the leverage is below the target. How are you thinking about the buyback at this point?
Greg Maffei: So on Pandora, I think it's highly likely that whatever incremental investment we make would come from Sirius. Sirius actually has I believe, it's an 18-month standstill on purchases. So we'll see where it goes from there. As I said down the path, the $480 million we invested in turning that into more than $480 million is attractive, but will not move the needle at Sirius. It's really there about figuring out is there a strategy in which we have a free offering that Pandora can be a part of that story that we can together figure out how to better monetize these 75 million to 80 million monthly users that they have in a more integrated fashion with the Sirius higher price offering. So I think that's the real goal there rather than trying to make a gain on the $480 million or more than the 480 [ph] investment. At Charter, we continue to buy back stock there aggressively. I think the share repurchase has been above the level that most analysts have forecast. We have had a high quality problem, which is normally people to put together bands on how you purchase out of - when you're out of the market you have a 10b5 program, the stock has been strong there partly on rumors and partly on reality. And that probably has reduced the weight of repurchase. But I suspect that the first and foremost goal there is to do incremental repurchase and also leave a little firepower, if God willing, we found another attractive acquisition opportunity.
Amy Yong: Got it. Thank you.
Operator: Thank you. Your next question comes from the line of Vijay Jayant with Evercore ISI.
Vijay Jayant: One for Greg. So on Charter, obviously the rumor du jour for the day is Altice. Can you just talk about Charter standalone prospects, which obviously have been pretty good? And I think the thought is that there's a lot of free cash flow still to come and equity price performance. But how do you sort of weigh potentially offers with equities of other companies that you may or may not want? And is it a foregone conclusion that if anything happens with Charter that Liberty Broadband sort of gets rolled up into that? And then for Chase, obviously, you're going through your strategic plans and hopefully come out and tell us in time, but you have a whole bunch of broadcast deals that have happened or are coming up in the next year. Can you sort of talk about just broadly, are we seeing real step ups? How you've started positioning the product to get more value from those broadcasting gems? I think it's a pretty big substantial opportunity. Thank you so much.
Greg Maffei: Thanks, Vijay. I'll go first and let Chase follow. I think maybe it was unintended, but the idea that we would take equities that we don't want is probably unlikely. A lot of it is going to be based on levering - it seems like levering up Charter, and if we want to lever up Charter we have that opportunity, so any deal that would be appealing for us and other Charter shows I think would have to add real value and show real capabilities that are beyond what we think is a very well positioned company with a very strong management team. We are below our own leverage targets. We are below the leverage targets that most other people, at least, have been rumored to talk about. And there are a lot of things that we could execute on; if we thought it had short-term appeal. I think as I noted, they had a solid quarter that's set up well, we believe for future growth, not only on the bottom line, but also on the top line. Rolling out our new pricing plans, absorbing the relatively unattractive modem pricing scheme that Time Warner had, taking the short-term hit on that and setting people in place to move them into better video packages over time, a lot of groundwork is being laid that we think sets up very well for Charter's future growth. So we remain very committed and excited to the Charter stock. We, of course, will listen to all and any offers that come in and judge them on their merit and appeal.
Chase Carey: Yes. And I guess in terms of the television arena that we deal with, the best way to describe it is there are sort of three even four, sort of potential areas that we're engaged with - not potentially, that we're engaged with sort of traditional free pay digital and then our own sort of more probably direct over-the-top product. And disintegrate what you have is, conflicting goals across them, probably the economic premium pay gets higher as you go up the ladder. As you go down that chain, probably the reach gets less as you go down that chain. For us our goal is to maximize long-term growth and not try and find a short-term cup. So I think we're trying to balance what's the right mix of sort of reach and direct economic value. Clearly, there are impacts on other partners we have, sponsors, areas of fan engagement, obviously very important. So as we're energizing the sport, I think we want to make sure we continue to position it for long-term growth that finds a balance between that reach and those economics as opposed to just gravitating towards simply where can you get the biggest buck. That balance and that mix is going to be different in each market. But again, I think we're at a place in that arena where all those factors are sort of wind in our back. I think the competition is continuing to increase and some of those emerging platforms are getting to be better and stronger options for us. But I do think we're going to continue to try to find a balance of reach and economic value with prioritization of making sure we provide a long-term foundation for growth.
Vijay Jayant: Thank you.
Operator: Thank you. Your next question comes from the line of Bryan Kraft with Deutsche Bank.
Bryan Kraft: I have a general question about Formula One TV rights revenue. Does the TV revenue in a given year vary based on the number of races? Or the dollar is contractually fixed every year for the season regardless of the number of races? And then I had a second question just on the teams, and I understand that you've been engaged with the teams in trying to work out a new economic model for the relationship. My question is, whether there's an opportunity there to structurally lower some of the teams' costs to participate in the sport as another way of improving their profitability, maybe through some sharing of certain resources or something along those lines? Thank you.
Chase Carey: Yes. On the TV deal to me, generally, we do not have a direct tied number of races, that's not been the historical practice in the sport. In terms of the teams, we're very much focused on cost. And I think one of our objectives is clearly to try to - for the benefit of the teams as well as the sport overall, is to try to sort to find a way to manage and control costs. And there's probably going to be through some sort of - there are many paths to get there, whether it's cost caps or other ways to sort of address key components of the car. We're not looking to standardize car. We think it is very important we continue to have a sport that is competition married to state-of-the-art technology. So we want cars to - we're not looking to dumb the cars down, but I think we can standardize components of it, but we are certainly looking for ways to help address what some of the teams' particular spend that would improve the overall economics of the business and enable everybody within it to benefit as well as improving the competition. Because I think one of the challenges we have today is there are a handful of teams that clearly spend at a level that's much different than the others. And you can see the results on the tracks. So if we can standardize - if we can bring the cost into a more - into an area where they're more comparable not equal, but they're more comparable to each other, it can enhance this competition and will make the economics of the business much better. We've begun that process with teams, so we've had some preliminary meetings. And there's some big components to it like addressing the engine, which is clearly one the - probably the most complicated part of the overall - of the car as a whole. But it is certainly our goal to address those costs. And we think the sport will benefit on many levels from that.
Bryan Kraft: Okay, thank you.
Operator: Thank you. Your next question comes from the line of Barton Crockett with FBR.
Barton Crockett: I was curious about Liberty Broadband's position as we look at all of this M&A talk swirling around Charter. And I was wondering if you could tell us how does Liberty Broadband participate in any M&A discussion that could come up? Are they involved? Is it something where you'd like to see them bought, if Charter is bought or some structure to get rid of the discount or protect the voting privileges?
Greg Maffei: Barton, I think that really depends on the structure of whatever deal, if any, that arises. And I wouldn't prejudge that. I mean, I would say Liberty Broadband is the largest shareholder and Charter has a big voice. And as you rightly note, we have certain governance rights and preemptive rights that are valuable and are of interest. So we're involved in any discussions that might arise. And I wouldn't prejudge whether that would mean Liberty Broadband gets bought or Liberty Broadband ends up being a shareholder or what happens.
Barton Crockett: Okay. That's fair. And then one other just modeling point, at Formula One.
Greg Maffei: I guess sorry, if I could add one. Barton, if we stayed in as a shareholder, it would obviously mean it was because we were pretty bullish on what was left behind, and we want to remain a shareholder in it. So I think that speaks to the obvious point, right?
Barton Crockett: Okay. All right, that's helpful. And then on Formula One, just one modeling point. As you've staffed up and moved into your new offices, what happens going forward to the corporate expense? What can you tell us about that?
Chase Carey: Again, I think what we've said is sort of roughly, the corporate headcount have been sort of 70, 75 to probably about double. And I think in a ballpark, we're still building it out. We've hired, as I said, most of the senior executives. We haven't built the team out fully, and we're developing plans to go beyond the overhead that would be in corporate, but I think we've talked about roughly an incremental $50 million a year. But that, as we go through the planning and budgeting process this fall, it will probably get refined because it is more than just - it is more just headcount. We had events like Formula One Live in London that was the - and we think the type of events that are important for us to engage with fans much proactively and broadly. And their capabilities, we're building out. As I said we're engaged with digital partners, we don't really have an appropriate digital platform today, so that's [indiscernible] to support things like a digital platform for us going forward. A lot of those things, we are in the process in the coming - the next few months for the first time sort of refining our plans around that. So I think we've had sort of broad directions of where we're going. But clearly, as I said, a lot of our planning and budgeting as we brought people on board is still a work in progress. I mean realistically, I think three or four months ago, with still sort of three of us in a temporary office. So certainly, those plans will get refined between now and the overall.
Barton Crockett: Okay, thank you very much.
Operator: Thank you. Your next question is from the line of John Tinker with Gabelli.
John Tinker: I noticed that Disney ESPN bought more of BAMTech yesterday as moving to launch on their OTT. Just kind of general question, obviously you participate through Atlanta Braves. And I wondered how you saw the value of BAMTech going forward and then your small percentage? And also more broadly, what do you think this does to the economic model as Disney goes OTT in sense of the basic video subscriber business at Charter? Thanks.
Greg Maffei: We're obviously as indirect shareholders in BAMTech very pleased with the result and actually Terry McGuirk probably had a lot of hand and insight into what was going on. He is on a lot of the oversight committees related to BAMTech. I think it's a very good result for baseball, not only monetization, but an ongoing role with Disney putting muscle behind BAMTech, so all very positive. And everything I've seen, which is not completed, some is very positive, as I said, for baseball and for the Atlanta Braves and therefore, for Liberty. As far as what it means for the ongoing role, I think a lot of people are trying to figure out what their direct-to-consumer strategy is, the nature of the bundle I suspect is going to change slowly, over time. I just don't think it's going to crash as fast as some. And I believe Charter has a very attractive business model the fact that we're somewhat hedged between video-to-video offering as a bundle and the strength of our broadband platform. I don't know, Chase, you want to add anything to that?
Chase Carey: No. I think that's you know look, I think it's pretty accurate and I guess looking at just simply with the Formula One hat on, I think clearly content is going to get offered in a lot of different ways. And I think some content will benefit some of it from it, some content will struggle with it. And if you look back that was same for us on television. I mean, we're looking at a four or five ways we can distribute our content today. And I think you're navigating - I think you know where the migration is going. It's probably more and more heading towards various forms of digital platforms, but I think you've got to maintain a connectivity. I don't think it'll happen as fast as some people think, because for some habits die hard. And there is a value in sort of volume and choice. And I think on the programming side, there's still value and reach. So I think directionally it's going there, but I think it will take time. But there is no question it'll - they're going to be a lot more ways the content continues to be able to offer it to consumers that I think will benefit the players on both ends of that, the players that connected to consumer, which is Charter and the players with unique content, which is something like us.
John Tinker: Thanks.
Operator: Thank you. Your next question comes from the line of Brandon Ross with BTIG.
Brandon Ross: Two topics. First on Live Nation, they've clearly been doing well. You've been sitting at the cap for a long time, there. Is the long-term plan just to kind of stay at the cap? And what factors would influence whether you take it in stand pat or do something else there? And another follow-up on Charter, if you'll entertain it. You said a deal would have to show real capabilities if they were to do something. Could you expound on what type of deal you would imagine would fit that description? I guess a follow-up on Amy's question, would that more likely be a wireless company or a wired gear? Thank you.
Greg Maffei: So on Live, you rightly note, we're basically at the cap and I think it's unlikely we're sellers. But since we're at the cap, we probably can't be more buyers and I'm not here to announce today that we're acquiring the rest of it. So we'll leave it at that. We've been very pleased with the performance. Michael and his team are doing a hell of a job and it's a great asset that's an important part of the Liberty portfolio. On Charter, I guess what I mean is about a deal that showed real capabilities, just levering Charter more is something that's within our capabilities, within the team's capabilities. Charter has been more levered at various times. Its management team has shown an ability and willingness and knowledge on how to lever it and if that's all that's offered, I don't think that, that's particularly attractive. So what might be incremental could be wireless, could be incremental equity dollars, could be a lot of things. I'm not going to prejudge, but it just can't be more leverage. That's in our control.
Brandon Ross: Great. And then just on today's Altice rumor. Do you think a deal with Altice would definitely pass regulatory, if it ever came to that?
Greg Maffei: I am not the antitrust lawyer. We don't - we have a full one in the room, but we - I can't imagine why that would be a hurdle to be perfectly honest, but that's my considered non-legal opinion.
Brandon Ross: Great. Thank you.
Operator: Thank you. Our last question comes from the line of Jason Bazinet with Citi.
Jason Bazinet: You mentioned earlier about the leverage being at the F1 business, not the F1 Group. I was just wondering if - regarding the targets, if you could just expand on that a bit. And then a slightly more maybe complicated question for Mr. Carey. In terms of all of the opportunities that you see for Formula One, do you mind just giving us a - not hard numbers, but a rough ranking of sort of largest quantum of dollars you see the smallest and then sort of easiest to hardest to accomplish in terms of timing? I think investors are sort of struggling with - they're sort of with you and that they see a lot of opportunity, but the questions that we get from investors is regarding sort of phasing of the improvement.
Greg Maffei: So maybe I'll let Mark comment just briefly on the leverage target at the F1 level and then how much debt we have above at the Liberty, more Liberty level.
Mark Carleton: Yes. We typically have talked about that target down at the F1 level, and we've got about $2.2 billion of principal up above that and about $3.7 billion down at the actual F1 level. And so I think we're managing that to the covenants and where we're at. And I think we're well on track to where we feel comfortable and where Chase's folks feel comfortable.
Greg Maffei: Remember, we have incremental assets including our Live Nation stake, there are assets at the Liberty trunk level above F1.
Mark Carleton: Above the F1 level, correct.
Jason Bazinet: Understood. Okay, thank you.
Chase Carey: And I guess in terms of the opportunities, when you take the three big traditional buckets of revenue, sponsorship, television and promoters to the events. Sponsorship is probably the one that can move the fastest in some ways, so it's probably the one that we have exploited, certainly less than any of our peers. As we've talked before they are right in the categories that are natural for Formula One that we're not in. We're not going to get there in a year, but I think we expect to see pretty significant and ongoing growth over the next few years. Television, I think we're in - and as we talked a little bit about a couple of calls a couple of questions ago, I do think we're in a sweet spot. So I think there's going to be more competition. I mean there's been a lot of talk just in the last few months about the growing importance of digital platform's demand for premium content. That's what we are. We're very a unique global premium content. I think we want to make sure we continue this connect with consumers, so we want to balance the demand for these new players with the goal of continuing to reach as many consumers as possible. And I think we don't want to lose sight of the fact that I think over the last five years, this sport has been underdeveloped and not connecting with fans and not doing some of the things it should be to really maximize its value. So at the end of the prepared comments, I highlighted the importance for us of reengaging with fans. And if we can - I think that's the foundation on which you grow the whole sport. So I think we want to make sure it's not chasing a short term. I mean historically, what this floor did was chase the short-term buck at the expense of connecting and growing a fan base and finding ways to develop the sport. So I think we believe the television world did broadly define television, which includes digital and over-the-top, is clearly a very significant, but probably will take - probably that's a growth over some longer period in sponsorships. I think the event side of it, there are opportunities in that as we developed some markets and clearly related to the events areas like hospitality, which I touched on, are particularly important areas for us to develop. If you go to one of these events today, we really have our hospitality working the way it should, I'd say, at two to three of our events per year. We don't have the expansive offerings that support merchandising our exhibitions, concessions and alike. So I think there are real opportunities related to events more - I think there's room in the promoter piece as we develop the opportunity and exploit some of the markets, but I think the probably bigger opportunity in events, are all the things that are related to a live event today where live events, particularly ones that can really distinguish themselves and be global events are - have uniquely disproportionate upside potential going forward. And then I think a transforming event on the other side is the ability to restructure the entire relationship with the teams at its core and in a way that significantly increases the overall profitability for all of us and enable us. Everybody who share that benefit. I mean, today there are teams that are spending the better part of $500 million to put a race car on the track, that simply doesn't make sense. And if we can put a structure in place that is healthier for the business, actually probably improves - will improve competition on the track, manage the sport better on the track, make it more attractive, but manage those costs, it will create significant increased profitability that all of us should benefit from. So I think in each of these areas, there are significant upsides. Some of them - the timing on the team thing means, we got the Concorde Agreement out there in 2020. Our goal is certainly to address it before that, although those - that agreement exists, so it's - I think there's a path forward that is to the benefit of everybody, the teams as well as us. But it's probably the complicated history and a complicated set of relationships between Formula One and the teams and other players in it. And again, that - well, the Concorde Agreement does sit there and there are aspects of that we'll have to deal with. But we are moving forward and have started to engage with the teams on ways to make this sport a much healthier sport economically and competitively for everybody's benefit.
Jason Bazinet: Really helpful. Thank you.
Greg Maffei: Great. Thank you to all of you out there and for your questions and your interest in Liberty Media. As I said, we look forward to seeing you in the coming months at conferences, and I hopefully hear from you again next quarter.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference call. You may now disconnect.